Operator: Ladies and gentlemen thank you for standing by. Welcome to the Amerigon Incorporated 2008 fourth quarter and year-end results conference call. At this time, all participants are in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator Instructions) This conference is being recorded today, February 10, 2009. I would now like to turn the conference over to our host, Ms. Jill Bertotti. Please go ahead.
Jill Bertotti : Good morning and thank you everyone for joining us today for the Amerigon Incorporated fourth quarter and year-end results conference call. Before we start today’s call, there are a few items I’d like to cover with you. First, in addition to disseminating through PR Newswire this morning’s news release, announcing Amerigon’s results for its fourth quarter and year ended December 31, 2008, an email copy of the release was also sent to a number of conference call participants. If any of you need a copy of the news release, you may download a copy from either the Amerigon website at www.amerigon.com or the Allen & Caron website at www.allencaron.com. Additionally a replay of this conference call will be available via a link provided on the events page of the Investors section of Amerigon’s website. Finally, I’ve been asked to make the following statements. Certain matters discussed on this conference call are forward-looking statements that involve risks and uncertainties and actual results may be different. Important factors that could cause the company’s actual results to differ materially from its expectations on this call are risks that sales may not significantly increase; additional financing if necessary may not be available; new competitors may arise; and adverse conditions in the automotive industry may negatively affect its results. The liquidity and trading price of its common stock may be negatively affected by these and other factors. Please also refer to Amerigon’s Securities and Exchange Commission filings and reports, including but not limited to its Form 10-K for the year ended December 31, 2008. On the call today from Amerigon we have Dan Coker, President and CEO; Bud Marx, Chairman; and Barry Steele, Chief Financial Officer. Management will provide a review of the results, after which there will be a question-and-answer period. I would now like to turn the call over to Dan. Good morning, Dan.
Dan Coker: Good morning, Jill and thank you for joining us. And thank you everyone for dialing in this morning. We have a very brief overview that we would like to go through. Barry is going to give some numbers. We’re going to get to Bud to get an update on the Advanced Technology Team and then we’re going to try to open the floor for questions as quickly as possible. In summary of 2008, it was a very interesting and exciting year; a lot of developments occurred during the year that it would take a long time to go through it all now, but to cite we’d say we had two separate years. The first half of the year was a normal year for us, although it was plagued with the strike by General Motors Corporation. The middle part of the year, the second of the year, started out with a petroleum crisis worldwide and prices soared out of sight and that cost a very big disruption in the purchasing patterns of a lot of people, particularly here in the US. And in the fall of the year 2008, we saw a credit crunch that closed down all the credit markets and made it extremely difficult for people to be able to finance capital purchases including automobiles. So we basically had two separate years with two separate head. It was very difficult period for the industry. It has been very difficult for all the suppliers of the industry to keep up with the automotive trends. In general, we did focus ourselves on increasing penetration in the market place which we were thankfully able to do. As it turns out with the increased penetration in the offsetting market declines, we nearly exactly broke even on revenue from 2007 to 2008. It took a lot of hard work on a lot of people’s part to be able to achieve that rather modest goal but we were able to achieve it. We also were able to achieve a profit in all four operating quarters for 2008; some things that we were very proud of. Our Advanced Tech Team which Bud is going to give you an overview in just a few minutes did a great job of pulling the technology forward and pushing a lot of technological initiatives to success. We were able to sign a deal with our first direct non-automotive application for the Sealy bed company. We were working together to try to develop heating and cooling equipment to provide year round comfort for occupant’s bed as well as car seats. So what we’re trying to try to do now is Barry will go through some of the numbers. We’ll have Bud speak to the Advanced Technology progress and then we will open the floor for questions. Barry?
Barry Steele: Thanks Dan. Good morning everybody. Our revenue for the fourth quarter 2008 was $12.8 million as comparing to $16.4 million in the fourth quarter of 2007, a decrease of $3.6 million or 22%. This brought our full year revenue to $63.6 million basically even with the prior year. As Dan mentioned, a number of issues affected our revenue levels that decreased it. If we look at sort of our same program revenue as compared with 2007, the vehicles that we ran in both years we actually saw decreases of $20 to $25 million in revenue. So our new program that we launched during the year fully offset these decreases that we've seen. Moving on, our gross margin percent for the full year was 29.1%. That's a decrease from the full year of 2007 of 33.5%. In the fourth quarter our gross margin was 22.3%. A number of factors contributed to the decrease that we've seen this period; partly product mix, secondly, higher raw material costs particularly with regard to more material that we use in thermoelectrics, and also for some charges we took on inventory related to programs that will be ending in the coming year where we see lower volumes than we anticipated and so we took some charges for that. Moving on, our R&D spending for 2008 was $6.8 million. It was $5.1 million in the previous year. For the quarter, it was $1.7 million representing an increase of $545,000 for the quarter and $1.7 million for the year. That's primarily attributable to increased spending on our advanced thermoelectric program, BSST. Of the $1.7 million increase for the year, BSST represented $1.2 million. We also had higher costs on our CCS business (inaudible) throughout the year. Our SG&A for 2008 was $7.2 million versus 2007 levels of $8.5 million. That's a decrease of $1.3 million. Before the fourth quarter, SG&A was basically $1 million down $1.2 million from the prior year. Primarily driving that was a reduction in manager bonuses for the year given the results. Moving on to our balance sheet, our cash reserves are now $25.3 million. That's basically equal to what it was at the end of the third quarter, although during the fourth quarter we did pre-purchase some stock about 947,000 shares and we spent $3.5 million to do that. So we were able to keep our cash reserves level and we’re able to purchase shares back at the same time. Our cash flow including depreciation and amortization for the year was $1.4 million. For the quarter it was $393,000. And that's what I have for the financial results.
Dan Coker:
Bud Marx: Well, Dan, thanks very much and good morning everyone. I think we've had very good results in the technology development arena in 2008 and our plan is to continue to run at this rate to further develop the technology. Things that were notable, we won a Department of Energy program in cooperation with Ford Motor Company and Visteon and a couple of research institutions and notably Ohio State, to develop heating and cooling technology from thermoelectric, and the objective of this is to develop systems that will function effectively in the electrified vehicles. Not just electric vehicles but hybrids and other vehicles that have now gotten electronic base that's very suitable for TE's. We actually anticipated additional awards from DOE and other government sources based on the progress of the technology that we’re showing. We also made important progress on materials. I think if you haven't seen it, Ohio State was able to announce and then we supplemented that that a material had been developed that was of such a character that it is patentable and it involves enhanced performance at high temperatures. That's obviously suitable for power generation, not for heating and cooling, but with this promise we expect to drive very hard for development of materials that will be suitable for heating and cooling, and also to drive for the utilization of the high temperature materials for products in the power generation arena and without going into more detail because of confidentiality and other competitive reasons. We're continuing to make progress elsewhere in the materials arena that is very encouraging. We have now put in place capability for test and characterization of these materials that we believe is the equal of any in the world which makes us a center to see these materials from many sources and to be in a position to work with those who are creating the most promising results. One other thing that's worth saying, that is that – I know it's a challenge to be spending at our R&D rate at a time when the bottom has fallen out of the automotives industry. So Dan will cover later, but obviously we're expecting a tough 2009. First of all, we think that in and of itself, the promise of the research and development effort is well worth pursuing. But I've seen in recent weeks some literature from studies that have been done in Academia that actually study the exact performance of companies that, in these times, maintained or increased their R&D spending compared with those who cut, and the data suggests that those who continue to drive the technology and take competitive advantage, in the end their stock prices did considerably better. And then the examples of IBM and Intel, I think, are also very illustrative. So we've taken steps to strengthen our organization and we're bringing on soon a very seasoned executive that has capability in development and in manufacturing in automotive climate control products. So we're making progress in that arena. And that's all I have to report.
Dan Coker: Thank you very much, Bud. One thing I would like to note to our listeners. Bud has a hard schedule closed in about 17 minutes. So when we open the floor for questions, which we're about to do, if you could be so kind as to direct your questions to the advanced technology team. Early on in our discussion you'll probably get a better answer if we get those out of the way first. So Kim, we'd like to open the floor for questions and we'd like to lean off those questions with any comments or questions about the BSST or the advanced technology team.
Operator: Thank you, sir. We will now begin the question-and-answer session. (Operator instructions). Our first question is from the line of Brett Hoselton from KeyBanc Capital Market. Please go ahead.
Brett Hoselton – KeyBanc Capital Market: Good morning gentlemen.
Bud Marx: Good morning.
Dan Coker: Good morning, Brett.
Brett Hoselton – KeyBanc Capital Market: Okay, well, let's start with – and I guess I'll circle back with Bud. As we think about – and in particular I'm looking at two of the milestones, the Waste Heat Recovery Program with the DOE and then the Ford and Visteon program with the DOE. Is my understanding correct that those are two distinct programs? And then secondly, at what point in time do you think that these have the potential to generate revenue for the firm? I'm more interested in the latter.
Bud Marx: Yes. There are two distinct programs. The Waste Heat was an initial program about three years ago. It's coming into the end of its fourth phase this year in 2009 and without committing to it, we believe that the DOE is sufficiently impressed that with the work that's going on that we'll be able to drive this technology further toward actually being able to demonstrate that it's installable in vehicles and that vehicles will perform in terms of fuel economy. The heating and cooling program was awarded very late last year. So it will run for three years at least and its subjective is to create what we'll call as zonal heating and cooling so that we can first supplement very dramatically and effectively in performance and comfort existing climate systems which are being really compromised by the switch to electrification and by the lack of heat coming off the engine and the lack of cooling power when the engine comes to a halt. When they switch the engine on and off, and also when they – before starting a vehicle. So we're seeing that as a very significant program and I think kind of watch this phase because we think more well developed. In terms of product revenues, you guys are probably familiar with automotive cycles and in the power generation arena, because this is pretty intimate to the vehicle, I wouldn’t expect to see revenue before the 2012 let's say sample and field minor programs to test out the technology and then 2013 and 2014. There are, I think, opportunities earlier in the heating and cooling side not necessarily coming from the DOE program itself. But if I were pressed for the time frame, I'd probably say the heating and cooling will come on relatively faster because we've been working on power gen for quite a while and the same time frame I have outlined is likely the same time frame for heating and cooling in terms of significant revenue.
Brett Hoselton – KeyBanc Capital Market: And then just to kind of expand on the two programs, first, with the initial DOE program, how is that potentially helping in the development of your current products and therefore potentially helping to generate revenue today if that is fact the case? And then secondly, well, let me ask that first question first and then I'd like to go on and just talk a little bit more about the Ford Visteon.
Bud Marx: Interesting question. The principles involved in taking the waste heat and turning it into electrical power are certainly the same for other such applications coming off of stationary heat sources or even in power generation from primary sources. So the fundamental base technology is similar and we would hope and expect that we could drive revenue earlier from such kinds of products than the automotive revenue.
Dan Coker: Brett, if I could offer a followup on that. We've also – if you look at what's happened in the history of Amerigon in our heating and cooling seat technology, in the last six or seven years, particularly in the last five years, we've been able to double our electrical efficiency and reduce our package size by more than half. And we're also adapting some of the other things we learned from our advanced teams into our new circuit designs for the 2009-2010 models that we'll be launching. So your question I think is well put. We do actively drag the technology gains over into our heating and cooling products which allow us to go after broader markets by reducing the power load and increasing the thermal output. We've been able to go after broader classes of vehicles in the marketplace because we simply don’t take so much power as we did five years ago.
Brett Hoselton – KeyBanc Capital Market: One final question for Bud and then I'll circle back. The Ford-Visteon-DOE program. In your description of it, is my understanding correct that essentially what we're doing is and this maybe a very cross way of saying it but we're kind of dismantling the traditional HVAC system used in an automobile and going to a more, let say, regionalized or specific heating and cooling function in different parts of the vehicle?
Bud Marx: Yes. The first step is to develop a system that will supplement these heating and cooling systems which are now heavily stressed and likely to underperform in terms of people’s demands for comfort and in terms of the added functionality that the function when the vehicles stops, that they precondition the vehicle so that when you get in you are comfortable. And for plug-ins, it means that you are able to extend the range of the vehicle because you're preconditioning it from the wall socket, you pull the plug, and you’re not going be draining the electricity for HVAC so heavily heating and cooling. So and Visteon is a tier 1 and in these time of efforts, generally a tier 1 is important and Visteon has been a partner with us for quite some years because the automotive companies themselves have lost that kind of deep systems capability and we as a second tier supplier really don’t have it. It would be a huge effort and not very productive for us to try and develop it ourselves.
Brett Hoselton – KeyBanc Capital Market: Excellent. Thank you very much, Bud. I'll circle back.
Bud Marx: Thank you.
Operator: Thank you. Our next question comes from the line of Rick Hoss with Roth Capital Partners. Please go ahead.
Rick Hoss – Roth Capital Partners: Good morning, gentleman. The questions have to do more with the income statement. Gross margin, Barry talked a little bit about that. Is there also less absorption, factored end of that, and if so, can we expect depressed gross margin going forward with a function that tellurium has come down in pricing and that eventually work its way through?
Barry Steele: Couple of things. The absorption factor is there. It did not impact us as much as the other companies given our variable cost structure. In other words we have contracted out our supply for all raw materials. So as our volumes change, our costs change. It's not that much big a cost (inaudible).
Bud Marx: Thank you very much Reuben. We'll be ready in probably about eight or ten minutes.
Reuben: Okay.
Bud Marx: How far is the (inaudible)?
Barry Steele: What was your other question? Sorry.
Rick Hoss – Roth Capital Partners: I'm assuming tellurium has come down quite a bit and that eventually worked its way through and should prove the benefit, right?
Barry Steele: It has stabilized. However, it’s going to be wild to work through our system, to be an impact on us. The decreases that we’ve seen which are moderate. Just in as much as when tellurium went up in the first quarter last year. The market did. It took until third quarter for it to impact us. So there’s going to be delayed effect when we come to that point in time.
Rick Hoss – Roth Capital Partners: Okay.
Bud Marx: Just to simplify that. So our suppliers, because of the drop in volume have a fair backlog of high price tellurium to work through their system and then through ours.
Rick Hoss – Roth Capital Partners: Okay. That's understandable. On the SG&A line, you talked about a reduction of bonuses. Were there any headcount reduction as well?
Dan Coker: Yes. We eliminated several what we call contract divisions where we hire people in for specific skills and we have them around for the list (inaudible) of the job. We've eliminated three of those key positions. We’ve also eliminated a couple of other positions what we felt like we could double up another area. So there had been headcount reduction.
Rick Hoss – Roth Capital Partners: Okay, but it doesn’t sound like it’s going to be to the point where it would impact operation under a resuming growth scenario.
Dan Coker: No. Actually we focused on trying to make sure that we are able to, number one, continue our R&D effort. That’s our number one priority and we also make sure that we are servicing all of our growing customer base needs. That's two key focuses.
Rick Hoss – Roth Capital Partners: Okay, and then Dan, your perspective from many years in auto-business, it sort of looks like it's been leveling just above $10 million backing out the effect of the fleet sales in the January’s number. It looks like it was probably maybe around 10.2. Do you have an opinion on this or an outlook? Do you see this leveling?
Dan Coker: I think we're going to see a flat first quarter, a very flat first quarter, and we're going to see slight improvement in the second half. I think that is as early as we're going to see a dramatic change in desire for 2009. I think that all the good work that the new administration is doing, all the efforts have been put forth to try to stimulate and free up capital through the credit markets through the banking system and being able to try to shore up some of the job losses that we're seeing now should carry over for most of the first half and in the second half we'll start seeing some positive impact from the efforts that have been put forth today. So, I think we're going to see some improvements perhaps in the 2010 model launches. People will start needing cars or thinking about replacing cars at that time.
Rick Hoss – Roth Capital Partners: Okay. And then Dan, the buyback is still out there and do you have a view on that based on the price, say below $4?
Dan Coker: Our current view is that the buyback plan was put in when we were seeing all stock prices in the market collapse completely, and we decided that that was a very good investment for some of our excess cash. Today, with the markets the way they are, we don’t see anything as excess cash. So we have put a hold on the acquisition of additional shares until we are more certain of the financial stability of the markets that we serve. And we have 100% certainty that our resources will allow us to ride out the current storm.
Rick Hoss – Roth Capital Partners: Okay, that’s good. And then quickly, BSST expense, Barry do you have a total or preferably a net for the quarter?
Barry Steele: Yes, the net for the quarter of BSST was 667,000.
Rick Hoss – Roth Capital Partners: Okay, perfect. Thanks a lot guys.
Operator: Thank you. Our next question comes from the line of Steve Denault with Northland Securities. Please go ahead.
Steve Denault – Northland Securities : Good morning, everybody. The first question is for Barry. Barry what were the absolute level of inventory write-offs in the quarter?
Barry Steele: It was about $400,000 or so.
Steve Denault – Northland Securities : Okay, and what programs were those on?
Barry Steele: I don’t know if we normally get into the specifics by program, but there were a couple programs that will be redesigned in the coming year.
Steve Denault – Northland Securities : So a nameplate that is getting redesigned that you don’t anticipate you’ll be on. Is that—
Barry Steele: We will be on the replacement in these vehicles. But the form factor and the part numbers changed so we had, it looks like because of the lower volumes we are seeing into the first couple of quarters, we have excess levels on hand.
Steve Denault – Northland Securities : In absolute terms again, where are the current prices for tellurium?
Dan Coker: They had stabilized right at $200 a kilo. We have seen a few dips below 200 and then a few pops back up around 205 to 210. So there’s really been no change in the price of tellurium since the middle of last fall. They did spike at well above $300 per kilo. They kind of stabilized at 250 and they’ve now drifted down to 200 and they’re staying very, very stubbornly at $200 per kilo.
Steve Denault – Northland Securities : Okay, how should we think about both SG&A and R&D for 2009? SG&A at $1 million was awfully low. What is a good run rate to assume?
Dan Coker: I think a good run rate would be somewhere around the $2 million per quarter range for SG&A.
Steve Denault – Northland Securities : Okay, and then how about R&D?
Dan Coker: R&D will be consistent with the third and fourth quarter spend rates.
Steve Denault – Northland Securities : Okay, perfect. Thank you.
Operator: Thank you. Our next question comes from the line of Steve Dyer with Craig-Hallum. Please go ahead.
Steve Dyer – Craig-Hallum: Good morning guys. Thanks for taking my call. Could you talk a little bit more about Sealy—when that initial stocking order might come in, when you might see that impact the P&L?
Dan Coker: Well, that is of course completely up to Sealy. What we are doing currently is making sure that all of the components that we will be required to supply to Sealy are ready, tested, and validated and ready to go. Their half of our partnership involves them designing the bed structure itself and getting certificates and approvals to sell the devices in the marketplace as well as prepare a marketing plan to enter the market. The general unrest in the economy globally is affecting everybody. It’s not just an automotive market or a housing market or a credit market issue. It is a market problem for everyone that I have been able to talk to. And our partners at Sealy are seeing the same problem with people buying beds and their businesses are also being pressured. So we are working with them. We would like to see a summer launch of the product and we are prepared for that. But it will really rely completely upon Sealy’s master plan as to how they want to introduce the product to the market. We’re prepared to support any timing they have.
Steve Dyer – Craig-Hallum: Sure, okay. And I understand that the ASP of your content might be a little bit higher for the bed than it is for the seats. How should we think about revenue assuming let’s just say that it is a mid-summer launch? How should we think about revenue later this year and on an annual basis in broad terms?
Dan Coker: In broad terms we are supplying more content to the Sealy bed program than we typically do for the average two seats set up in a car. So you could look at that and speculate that it would be somewhere in excess of $200 per unit for our side.
Steve Dyer – Craig-Hallum: Okay, and then are you prepared to venture a guess as to the number of units on an annual basis that you may see or has Sealy shared any of their goals with you that you can comment on?
Dan Coker: We have shared goals, but those were under normalized market conditions and there is nothing normal about any of the market conditions that we see in any of the markets that we are serving or envious of at the moment. So right now, we don’t want to put any numbers or any commitments on either side. When we get ready to launch and we see a stable market for the product, we are very excited about the quantities that will ensue when Sealy goes to market with the product, but right now these are not normal times. So it would be very tough to introduce a high-end feature into the current climate.
Steve Dyer – Craig-Hallum: Okay, understood. And then, any other BSSP or I should say non-core products that we can expect in 2009 in addition to that?
Bud Marx: This is Bud. I’m coming up against my hard stuff. We anticipate at least one product to be introduced that has not yet been introduced in 2009, but as Dan said, the economic conditions for anybody that’s selling products are that it’s very slow. So we’re a little bit uncertain about the timing of it, but we’re pretty confident of the fact of an intro. So guys, I have to go. I’m glad you saved all the hard questions for Dan and Barry. It’s been a pleasure.
Dan Coker: Thanks for your time Bud.
Steve Dyer – Craig-Hallum: I guess I’ll just ask a couple more then if I may. So just kind of doing some quick math on the gross margin and the one-time inventory write-downs, a normalized level for Q1 in my math would leave me to something like a 26%. Is that reasonable?
Barry Steele: The one thing that I would add is that products mix does have an impact from quarter-to-quarter. So where that sort of falls at for the future is not always that certain. That does levelize it, if you will, for the fourth quarter, but that’s not necessarily how the product mix will follow in future quarters.
Steve Dyer – Craig-Hallum: Okay, I will hop back in the queue. Thanks.
Operator: Thank you. Our next question comes from the line of Tyson Bowers with Wealth Monitors Incorporated. Please go ahead.
Tyson Bowers – Wealth Monitors Incorporated: Good morning gentlemen. This is just a follow-up on that last question. Barry, could you provide a bracket expectation in growth margins given the unknowns of product mix and some of the other raw material cost? You have already targeted 30% in the past. Obviously that was under normal conditions. Where would you think a range would be more likely that you’re going to fall in than not fall in?
Barry Steele: We think it will be below 30%, probably not as low as we saw in the first quarter obviously, but 28, 29, somewhere in there maybe.
Tyson Bowers – Wealth Monitors Incorporated: Okay, and that has to do with the structure you intentionally put in of those variable costs to protect you in these situations?
Barry Steele: That would be one of the drivers of how we can keep our margins up and see lower volumes.
Tyson Bowers – Wealth Monitors Incorporated: Okay, on the R&D side, how much flexibility do you have on that going through the year or are you fairly inflexible in programs you’re working on now that you’re going to do those regardless of what happens on the normal PTS business?
Dan Coker: Well, our R&D programs are long-term, so we don’t drift in and out of them based upon economic conditions. And our commitments on these types of programs are multi-year in many cases. Programs that we have, as an example, the University system where we don’t go in for a quarter. We go in for the length of a project. And these projects do tend to run into multiple years to see results. And we’ve been in several of these programs for about three years, and the benefits of these programs are just now starting to be realized. Bud gave the example of the Ohio State University high temperature material gains that were revealed this last fall. That’s a lot of work by Ohio State and our own scientists to try to figure out a better way to do something. And these are the types of commitments that you make on a long-term plan. So we are fairly inflexible with what we want to do in the R&D, but probably more importantly, we’re very excited about what we’re seeing and what we’re yielding out of those programs. So we think this is definitely the time to push hard on the advanced technology area.
Tyson Bowers – Wealth Monitors Incorporated: Okay, and Barry, a bookkeeping question, what was the cash flow from operations for the year?
Barry Steele: 5.5 million.
Tyson Bowers – Wealth Monitors Incorporated: Okay, and the last question from me is Dan, are there any platform or model changes still awaiting decisions by the OEMs that may impact how ’09 or going into ’10 will positively or adversely impact your business on the BCF side?
Dan Coker: Actually, ’09 is fairly stable. There could be some shift or drift as inventories are continually adjusted down. 2010, there is a potential for delay, but we haven’t seen any delay and we haven’t heard any and times have been pretty tough. So we’re fairly confident that we’re going to see another nice batch of new, very solid platforms added in 2009. We know who they are. We know when they launch. Some of the people have been talked about in both the Detroit and L.A. and Chicago auto shows. We haven’t made any press-releases ourselves on those because we haven’t been given permission by the car companies, but you’re going to see another five or six new platforms in 2009 and probably more than that or at least that again in 2010. So we continue to make good penetration gains in the marketplace.
Tyson Bowers – Wealth Monitors Incorporated: What is the status of the GMC 900 platform and your involvement with that?
Dan Coker: The status of the platform is still solid and growing for us and we’re quite delighted to be involved in those 2009 and 2010 launches of the GMC 900.
Tyson Bowers – Wealth Monitors Incorporated: Alright, thank you.
Operator: Thank you. Our next question comes from the line of Kevin Tynan with Argus Research Company. Please go ahead.
Kevin Tynan – Argus Research Company: Good morning everyone. Dan I was hoping you could speak to this. In terms of the DOE programs and especially that one in phase IV, what’s your take on the role of the DOE host programs? In terms of commercialization, how involved are they, if at all? In terms of endorsing results, anything like that, support from them after the program ends?
Dan Coker: Well, the DOE is getting involved in these types of projects to push the technology, particularly those involved in either energy or transportation in our particular case. And they do a very good job of publicizing the results of programs that they deem to be significant. So a successful program would bring, probably not what you would think of as a product endorsement, but certainly a lot of publicity and a lot of attention can be drawn through success in the Department of Energy projects. We have two, one for power generation which has been very well developed in the last three years and is now moving into a fourth phase. And we have a new one that’s launching right now actually that has to do with zonal heating and cooling for vehicles with a more electrified view of the world. So we think that the success in these programs, part of it will be the pure science of being able to understand and do what we intend to do and the second part, of course will be the Department of Energy. They are helping us by publicizing and by broadcasting these results.
Kevin Tynan – Argus Research Company: They have a specific commercialization department that you work with or is it simply they give you a manila envelope full of results and put their stamp on it or do you have any insight on how that works?
Dan Coker: Actually, it’s a little bit the reverse of that. We give them a manila envelope with results in it and they validate those results. These particular programs, as an example, the HVAC program we’re doing with Ford and Visteon. There will be independent testing done by the National Renewable Energy Laboratory in Colorado. So it’s a collaborative effort between government and industry to be able to move the needle forward in a very key technological area. The Department of Energy recognizes thermoelectrics as being a significant alternative to some of the traditional means of power generation and HVAC systems. And they are doing what they think is necessary to seed the industry to move the technology forward to help profligate products from these technologies.
Kevin Tynan – Argus Research Company: Okay, and really quick, when you say HBAC systems, is there a ventilation component or are you guys simply doing the thermoelectrics in heating and cooling.
Dan Coker : Our challenge here is to provide a device that converts the electrical power into thermal energy. We do not really intend to do the entire system. So we would be partnered with whoever the OEM uses for their specialty support for heating and ventilation systems for cars.
Kevin Tynan – Argus Research Company: Okay, very good. Thanks. That’s all I have. Operator Thank you. Our next question comes from the line of Brett Hoselton with Keybanc Capital Markets. Please go ahead.
Brett Hoselton – Keybanc Capital Markets: Great, hi gentlemen. In terms of you said new platforms, you said five to six in 2009 and five to six in 2010, if I heard you correctly. My question is are any of those new platforms with new automaker customers?
Dan Coker: The majority of our new projects are on existing programs and expansions of programs with our existing customers. But I’m not saying that we are not going to have any new brands available on our product in the next few years. But we do see a lot of great opportunity even within all of our existing customer base.
Brett Hoselton – Keybanc Capital Markets: As you think about your penetration into other automakers, some potential programs that you’re currently working on, how many other automakers—again, apart from current automakers—are you currently working in development programs with—one, two, three?
Dan Coker: More than three.
Brett Hoselton – Keybanc Capital Markets: And then, switching down to new products, you obviously talked about your milestones in your press release. What should we expect potentially in terms of introductions and in terms of new automotive products let’s say over the next year to two years?
Dan Coker: We did introduce the heated and ventilated seat system this year. So that’s a new innovation for us and it extends the capacity of our products through some of the mid-range and entry-level vehicles. We’ve already talked about the bed product. We talked about electronics heating and cooling. You’ll see heating and cooling products coming out this summer and fall and then I think you’re going to see a lot of different varieties of that type of particular application where the current designs that we’re working on happen to be focused on cell phone towers here. But there’s a lot of places where either the electronics themselves or the back-up battery systems or some other element that generates heat or is damaged or hampered by heat, we’ll be adapting our type of thermoelectric devices to provide a better operational efficiency for those types of programs. You’ll also see, as I think we’ve hinted in the past that things inside the care like cup holders, people, and cold storage boxes, have become an interesting issue for several people, particularly the European customers are interested in instead of cup holders which I think they have some disdain for. But they don’t mind a cold storage box. So those types of products, you’ll see both in and outside of the automotive industry.
Brett Hoselton – Keybanc Capital Markets: And do you see those products being introduced? I guess if you were to kind of aggregate that and say well, look, I think we may introduce X number of products in these areas in 2009, X number of products in these areas in 2010, do you have any sense of what you might be doing?
Dan Coker: We’ll probably introduce categories, probably a couple per year for the next few years. That is kind of what our goals are.
Brett Hoselton – Keybanc Capital Markets: And then as we think about the potential revenue impact of those new categories and those new products, should we think about those as kind of a slow ramp up, small impact near-term? Or is there the potential for them to have a material or meaningful impact, i.e. like 5% of revenue over the next two years or so?
Dan Coker: The prior description is what we actually prefer. We’d rather see something start off slow. We like to learn as we grow and then before we go mass market or broad market, we like to have a good, firm grip on how things are going to perform. So we purposely like to see a slow, steady ramp up on all the new programs that we talk of.
Brett Hoselton – Keybanc Capital Markets: Outstanding, thank you very much gentlemen.
Dan Coker: Thank you, sir.
Operator: Our next question is a follow-up question from the line of Steve Denault with Northland Securities. Please go ahead.
Steve Denault – Northland Securities : A follow-up question for Barry, was there an accrual reversal in the fourth quarter with SG&A?
Barry Steele: Yes, there was.
Steve Denault – Northland Securities : And that was management bonus related I’m assuming?
Barry Steele: That’s correct. We accrued sort of normal levels for the first-half of the year, stopped accruing in Q3, and then reversed what we had in the first-half of the year in Q4.
Steve Denault – Northland Securities : Okay, what was the size of that reversal? Was it like $1 million?
Barry Steele: About 700,000.
Dan Coker: About 600,000 or 700,000, yes.
Steve Denault – Northland Securities : Okay, perfect. Thanks.
Operator: Our next question is a follow-up question from the line of Steve Dyer with Craig-Hallum. Please go ahead.
Steve Dyer – Craig-Hallum: Hi again, other than the Cadillac SRX, which is a pretty small platform, any more discontinued platforms that you’re aware of for this year?
Dan Coker: Oh, you mean the Cadillac XLR?
Steve Dyer – Craig-Hallum: XLR, yes, I’m sorry.
Dan Coker: The convertible, I’m not directly aware of any programs that have just been completely dropped. There are some vehicles that Barry was referring to earlier that have been in the market for a normal lifespan, for five years and the current variation of that platform will be shelved and a new version of that will be introduced in 2009. And that’s what I think he was referring to. What we faced when we came to the second-half of last year in a couple of these cases is a normal run-out and we plan our inventories and we plan our productions with the car companies and with the Tier 1s to balance out a nice, uniform glide path down to zero. This year, because of the way that the market collapsed, a lot of the inventory commitments we had made are ahead of the actual demand and draw from the customers. So we wound up getting stuck with some material that under normal circumstances would have been quite tight and frugal, but under the current circumstances of the total collapse in the market in the fourth quarter and the first quarter of this year, we wound up with some excess inventory that we had to. Because of our own very conservative accounting principles, we’ve chosen to write those off completely. And that did cost us about $400,000 in the fourth quarter.
Steve Dyer – Craig-Hallum: Okay, circling back to the heated and ventilated discussion, how has the first platform been received and what would you expect potentially as a follow-up?
Dan Coker: I think it’s actually met all of my expectations for introduction. As you know, it’s an Asian major market product. It’s not sold here in the US and from my understand from talking to the Tier 1s and to the OEMs, they’re quite pleased with the performance and they’re very pleased with the customer acceptance in those target markets. Again, the target markets are primarily the developing countries, China, Russia, and some of the southeast Asian countries are the target market for these vehicles and they’re being very well accepted.
Steve Dyer – Craig-Hallum: Any additional winds at this point that you can talk about, not necessarily naming the platform, but anything close.
Dan Coker: Not that we can talk about, but yes, there are additional winds in that area.
Steve Dyer – Craig-Hallum: Okay, and then competitively have you seen any change specifically WET, any winds that they’ve had or noise that they’ve made that concerns you?
Dan Coker: They always concern me, but there’s been nothing dramatic or earth shattering. They are a small player in the market. They’re working very hard to try get their product up to our standards.
Steve Dyer – Craig-Hallum: And there’s no intellectual property violation that you’re aware of?
Steve Dyer – Craig-Hallum: Okay, I guess then finally, as it relates to take rates, have you seen any material difference with the overall collapse in your take rates averaging right around 70%?
Dan Coker: There have been absolutely no noticeable change in the take rate. The biggest problem is that the take of the customer buying cars is what’s caused all the hate and consternation within the industry. When people do buy a car, they do tend to look for these types of features still. We are getting more people asking about this type of feature for the mid-range vehicles which is where a lot of people expect some of the consumers who were concerned about the fuel economy to be drifting. So in that sense, it’s still a positive trend, but we’ve seen no market shift in the desire of the consumer, particularly on the high-end types of vehicles, which is where we’re predominant. We haven’t seen any change at all.
Steve Dyer – Craig-Hallum: Okay, that’s it for me. Thanks guys.
Operator: (Operator Instructions) At this time, there are no further questions in the queue. I would like to turn it over to management for closing remarks.
Dan Coker: Thank you very much, Kim. And thank you everyone for joining us and thank you for all your usual poignant question. As we said earlier, Amerigon and the industry and I think perhaps the global economy has suffered greatly during the later part of 2008. We are still seeing the serious impact of that in the early parts of 2009. And as we spoke earlier to the question of how we see our specific little end of the world being impacted, we do see a very, very bad impact on the global automotive marketplace and therefore Amerigon in the first two quarters of this year. And we do see a modest improvement in the second-half of the year. So it’s going to be a tough year. We’re going to do everything that we can to make sure that all of our operational objectives are met. But it is going to be a very, very difficult first-half for our company. But we are very dedicated to increasing the penetration and moving the technology forward. Those are our two key goals and we promise to do everything we can to achieve those goals while watching cost. So I think everyone for joining us and we’ll see you again in about 90 days.
Operator: Ladies and gentlemen, this does conclude the Amerigon Incorporated fourth quarter 2008 and year-end results conference call. Thank you for your participation. (Operator Instructions) Thank you and have a great day.